Operator: Ladies and gentlemen, thank you for standing by. My name is Christa and I will be your conference operator today. At this time, I would like to welcome everyone to ZIM Integrated Shipping Service Third Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. And after the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I would now like to turn the conference over to Elana Holzman, Head of Investor Relations. You may begin.
Elana Holzman: Thank you, operator, and welcome to ZIM's Third Quarter 2024 Financial Results Conference Call. Joining me on the call today are Eli Glickman, ZIM's President and CEO; and Xavier Destriau, ZIM's CFO. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements regarding expectations, predictions, projections or future events or results. We believe that our expectations and assumptions are reasonable. We wish to caution you that such statements reflect only the company's current expectations and that actual events or results may differ, including materially. You are kindly referred to consider the risk factors and cautionary language described in the documents the company filed with the Securities and Exchange Commission, including our 2023 Annual Report on Form 20-F filed with the SEC in March 2024. We undertake no obligation to update these forward-looking statements. At this time, I would like to turn the call over to ZIM's CEO, Eli Glickman. Eli?
Eli Glickman: Thank you, Elana, and welcome, everyone. We are proud with ZIM's strong performance in the third quarter, in which we again delivered record carried volume as well as exceptional profitability, which underline our strong financial results. We generated net income of $1.1 billion and revenue of $2.8 billion in the third quarter, as you can see in Slide Number 4. Adjusted EBITDA was $1.5 billion and adjusted EBIT was $1.2 billion, with adjusted EBITDA margin of 55% and adjusted EBIT margin of 45%, indicative of our continued strong financial position. We maintain total liquidity of $3.1 billion at quarter-end. Slide Number 5. Our nine months results are better than expected and recently improved outlook for Q4 '24. We are raising our '24 guidance ranges. We now anticipate full year adjusted EBITDA between $3.3 billion to $3.6 billion and adjusted EBIT between $2.15 billion to $2.45 billion. Also, thanks to our improved cash generation to date and strong balance sheet, our Board of Directors has declared a special dividend of $100 million on top of the regular dividend of $340 million or 30% of Q3 net income per our dividend policy. On a per share basis, we will distribute a total of $3.65 per share, which is made up of $2.81 per share on account of Q3 results plus $0.84 or $0.84 per share as a special dividend. Returning capital to shareholders has always been a priority and we are pleased to share our success with shareholders today with this substantial dividend. Slide Number 6. This quarter's result were the highest we have delivered since Q3 2022 and higher than any period prior to the extraordinary COVID market. While this quarter results were also driven by elevated freight rates, we have undertaken important strategic and commercial initiatives to maximize our earning power. We believe that these actions have improved our competitive position and will continue to benefit us going forward regardless of prevailing market conditions. First and foremost is, of course, our fleet renewal program. To remind you, in 2021 and 2022, we engaged in a series of long-term charter agreements to secure 46 newbuild vessels, including 28 LNG-powered container ship to be delivered over the course of '23 and '24. The benefits of our fleet transformation are already evident in '24, driving our strong results this year. Entering '25 and once we receive all 46 new vessels and redeliver some older capacity as planned, 50% of our fleet capacity will be newbuild, resulting in more fuel efficient and cost-efficient capacity. Our average vessel size has grown making our fleet better suited to the trades in which we operate and improving our cost structure. Moreover, about 40% of our capacity will be LNG-powered. ZIM was an early adopter of LNG, enabling us to be the first and only carriers currently operating two services on the Asia to US East Coast trade with LNG vessels. This has been an important commercial differential for us which supported our efforts to capture additional volume as we grow our operated capacity on this trade. In addition to reducing the environmental impact of ZIM operations, we have also seen financial benefit from our utilization of LNG. LNG is 25% more efficient as compared to LSFO and has been consistently cheaper than LSFO since we had our first 15,000 TEU LNG vessels delivered to us in early '23. Importantly, we ensure reliable access to LNG, which is not as ready available as LSFO by reaching strategic supply agreements with Shell. Recently, we entered into an additional agreement with Shell, and now our services to the US East Coast are covered by long-term LNG supply agreements. This has enabled us to operate our dual fuel LNG vessels on LNG and capture these cost benefits. Our improved competitive position on the Asia to US East Coast trade also help us reach our new operational collaboration agreement with MSC, replacing the agreement with the 2M. More recently, we also agreed to a new operational collaboration with Hapag-Lloyd, covering the Atlantic trade. These and other operational collaboration agreements we have in place allow us to improve network efficiency by promoting greater utilization of larger vessels as well as enhance our product offering to customers with better port coverage. While ZIM secured cost competitive newbuild capacity to support its commercial strategy and was prepared to operate independently, these operational collaborations derisk the significant capacity growth we have undertaken in '23 and '24. We have also been proactive in securing the necessary equipment to support our planned volume growth this year. As I already mentioned, a key factor contributing to our strong Q3 results has been volume growth, reaching 970,000 TEU, which represents another record high for ZIM. This 12% year-over-year growth significantly outpaced global container market growth. We are incredibly pleased with our progress in gaining market share, owing to our strategic investment in ZIM fleet, particularly on the Asia to US East Coast trade. We have also delivered significant growth in Latin America, a newer focus area for ZIM. Identifying potential growth opportunity and demonstrating commercial agility have been and continue to be a core strength at ZIM. Identifying the car carrier opportunity and expanding our capacity to 16 carriers is one example. Two more recent examples are our expand focus on Latin America, which I just mentioned, and the expedite services we relaunched in '24 from Asia to the US West Coast to capitalize on the strong volume growth on this trade. Another commercial decision we made this year that contribute to our strong Q3 results was our strategy to increase ZIM exposure to spot volume. As you will recall, earlier in the year, ZIM choose to deviate from our previous approach of a 50-50 split between spot and contract volume and instead increased our spot exposure in the Transpacific trade to about 65%. This enables ZIM to benefit more significantly from the upward pressure we saw on spot rates in the third quarter. Slide 7. Looking ahead, market dynamics still point to supply growth outpacing demand in '25 and '26 setting up for a version following a period of strong rates that has extended for most of '24. However, the rate environment can be volatile and unpredictable, dictated by macro conditions and times factor external to the shipping industry. As such, our focus has been and will continue to be on improving our cost structure and operational and commercial resilience. It is important to highlight that our position today is fundamentally better as compared to a year ago. The transition period of '23 and '24 is concluding and we are on track to complete our fleet transformation as planned. The benefits of our strategic investment in our fleet have already begun to materialize this year as I have detailed today. Our position in '25 and beyond will improve further as we are regaining flexibility in terms of the size of our operated capacity, which a total of 57 vessels up for renewal in '25 and '26, which we could redeliver to owners. We can choose to continue operating in similar capacity or scale back depending on the market environment. As market conditions continue to evolve, we intend to remain agile and build on our track record of taking advantages of attractive opportunities that benefit ZIM both operationally and financially. We are confident that the steps we have taken have solidified our position as an agile container shipping players with a competitive cost and fuel efficient modern fleet. On this note, I will turn the call over to Xavier, our CFO, for a more detailed discussion of our financial results, our updated '24 guidance as well as additional comments on the market environment. Xavier, please go ahead.
Xavier Destriau: Thank you, Eli, and again, welcome, everyone. On Slide 8, we present key financial and operational highlights. ZIM's third quarter financial results reflect continued momentum based on strong demand and elevated freight rates. Our third quarter average freight rate per TEU was $2,480, a 118% year-over-year increase and a 48% increase from the prior quarter. During the first nine months of the year, our average freight rate per TEU of $1,889 was 53% higher than in the first nine months of 2023. At the same time, ZIM's increased carrier volumes have had a positive impact on earnings given the strong rate environment. And as Eli mentioned, our Q3 carried quantity of 970,000 TEUs was a record and 12% higher year-over-year. ZIM's growth compared favorably to market growth of 5%. Revenues from non-containerized cargo, which reflects mostly our car carrier services, totaled $145 million for the quarter compared to $153 million in the third quarter of last year. Total revenues in the first nine months of 2024 of $6.3 billion were up $2.3 billion or 58% year-over-year. Our free cash flow in the third quarter totaled $1.5 billion compared to $328 million in the third quarter of 2023. Turning now to the balance sheet. Total debt increased by $828 million since prior year-end. And that is mainly due to the net effect of the incoming larger vessels with longer-term charter durations attached. I'd like to remind you that the newbuild capacity we have received, especially the LNG vessels are chartered for a period of 8 to 12 years, creating a predictability in our cost structure with respect to this core capacity. Furthermore, we hold options to extend the charter period on the 25 Seaspan LNG vessels as well as purchase options, giving us full control over the destiny of these ships, very much as if we were the actual vessel owner. Turning to our fleet. We currently operate 145 vessels, including 129 container ships with total capacity of approximately 773,000 TEUs as well as 16 car carriers. This compares to an overall fleet of 148 vessels as of our prior earnings call in August. The change from three months ago resulted from the delivery of four newbuilds and the redelivery of seven smaller vessels. I'd like to reiterate that while we may continue to operate a similar number of vessels, our operating capacity continues to grow. In fact, today, the average vessel size we operate is about 50% larger as compared to our fleet two years ago. And with our fleet transformation program, we are replacing smaller less cost-effective tonnage with larger, more cost-efficient newbuild capacity. As of today's call, 42 of the 46 newbuild vessels ZIM had committed to join our fleet have joined our fleet, including all 10 15,000 TEU LNG vessels, the 4 12,000 TEU vessels, 15 of the 18 8,000 TEU LNG vessels and 13 of the 14 smaller wide beam, 5,500 and 5,300 TEU ships. Excluding the newbuild capacity, the average remaining duration of our charted tonnage continues to trend down and is now 17 months compared to 18 months in late August. We have still a total of seven vessels up for charter renewal in the remainder of 2024 as compared to the expected delivery of four newbuilds during the same period. So as we approach 2025, we have another 35 vessels up for renewal next year and 22 vessels up for renewal in 2026, which, as Eli mentioned, provide us optionality to better align our operating capacity with the market opportunities. Next, now on Slide 10, we present ZIM Q3 and nine months 2024 financial results compared to last year's Q3 and first nine months. Adjusted EBITDA in this year's third quarter was $1.5 billion and adjusted EBIT was $1.2 billion. Adjusted EBITDA and EBIT margins for the third quarter were 55% and 45%, respectively as compared to 17% and an EBIT loss in the third quarter of last year. For the first nine months of 2024, adjusted EBITDA margin was 44% and adjusted EBIT margin was 30%. This is compared to 22% and an EBIT loss in 2023. Net income in the third quarter was at $1.1 billion compared to a net loss of $2.3 billion in Q3 2023. As a reminder, net loss in Q3 last year was primarily driven by a noncash impairment charge of $2.1 billion. Turning now to Slide 11. We present here our carried volume broken down by trade zone. As you can see, we saw significant growth in the Transpacific, Latin America and Atlantic trades in the third quarter, attributable to our larger capacity vessels and new lines. Transpacific and Latin America volume grew 24% and 59% respectively year-over-year. We expect to see continued volume growth during the remainder of 2024 as we continue to upsize our capacity and remain on track to achieve our double-digit volume growth target this year. On Slide 12 is our cash flow bridge. For the quarter, our adjusted EBITDA of $1.5 billion converted into $1.5 billion of cash flow generated from operating activities. Other significant cash flow items for the quarter include $595 million of debt service, mostly related to our lease liability repayments and a dividend of $112 million. In the third quarter, in Q3, we paid $60 million as downpayment on the delivery of three of our LNG vessels. Moving now to our 2024 guidance. As you already heard from Eli, our outlook for the remainder of 2024 is stronger than previously assumed. And as such, we are raising our full year 2024 guidance and now expect to generate adjusted EBITDA between $3.3 billion and $3.6 billion and adjusted EBIT between $2.15 billion and $2.45 billion. Our assumptions for double-digit volume growth and bunker cost haven't changed since we provided our prior guidance in August. However, the expected decline in freight rates from their peak in early summer was slower than we had initially anticipated, resulting in a stronger overall expected performance for the year. Before we open the call to questions, a few comments on the market. Looking back at 2024, this year developed very differently than what was initially anticipated. From an expectation of significant oversupply, causing potentially freight rates to drop to loss-making levels, we saw a relative equilibrium develop due to the significant capacity absorbed by the Red Sea diversion, which coupled with better-than-expected demand, drove rates upwards. Looking forward to 2025 and beyond, in addition to uncertainties stemming from geopolitical matters such as the duration of the Red Sea crisis or the impact of the recent US elections, the risk of oversupply continues to exist, especially with the recent growth in the order book to fleet ratio to 25.5%, though to a lesser extent than the gap between the supply and demand growth of 2024. Yet it's also important to note that the delivery schedule of the current order book is longer than the typical two-year period. Rather, it is stretched out to 2027, 2028 and even 2029, easing the absorption of this additional capacity. Moreover, over the next several years, the decarbonization agenda of the industry will require carriers to modernize their fleet so they will be able to meet IMO mandates as well as customer expectations on reducing carbon emissions. The decarbonization agenda of our industry will also likely drive scrapping to more meaningful levels. Scrapping almost did not happen since 2021, and at some point, it should begin to catch up, especially as more stringent regulations on carbon emissions are enforced, making it an economic to operate certain older vessels. In the short-term, industry players can also utilize slow steaming or idling to continue to manage capacity. On that note, we will now open the call to questions. Thank you.
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Omar Nokta with Jefferies. Please go ahead.
Omar Nokta: Thank you. Hi, Eli and Xavier. Thanks for the update. Obviously, exceptionally strong quarter, big guidance bump. First, maybe just on the dividend. Your cash position has jumped here to above $3 billion here at quarter-end. It seems that you just hear the commentary and by your actions that you've got a good level of confidence on the outlook. I guess for ZIM in particular. But maybe if you wouldn't mind just giving us a sense of how are you thinking about ZIM and how it's positioned as we go into an uncertain perhaps 2025? And then also in terms of the dividend, the $100 million payout, of the special payout, does that factor into the Board's decision on whether or not to true up to the full 50%.
Xavier Destriau: Okay. Thank you. Good morning, Omar. Maybe addressing the second part of your question. We are indeed very pleased to be able to top up our regular dividend this quarter, and this is, I think, us being true to our commitment vis-a-vis our shareholders to return capital as much as we can when the situation allows. And as you rightly pointed out, the third quarter order and also the outlook for the remainder of the year is somewhat stronger than what we initially planned for. Hence why we have decided to top up again our regular dividend with a special dividend. Just to give us things into context, if we look at what has happened and how much capital we returned since we became a public company in 2021, we've returned $5.2 billion to our shareholders or $43.26 per share over this four-year period, including this quarter dividend in those numbers. So it is us delivering on our commitment that we are doing this quarter. Now when it comes to the question of what will or what may happen in March. Our current dividend policy stand and the Board will review in March what to do in terms of potentially topping up our dividend between 30% to 50% of the net income that we will have generated over the full year period. So that decision will -- this discussion will take place in March. The dividend policy remains in place and unchanged. Now going back into looking at what the market may look like in 2025. Clearly, we are pointing towards a good performance towards the end of 2024. So a good Q4 and certainly a better Q4 than what we anticipated in August, a few months back. Now looking into 2025, there are a lot of potential element of volatility ahead of us. One thing is for sure, is that the company is very well prepared and very well equipped to navigate the uncertainties that lies ahead. So we don't control what the geopolitical situation will be. But what we control is our ability to react fast to changing market conditions. We have, I think, demonstrated in the -- in this quarter and in the prior quarter our ability to move and redeploy our capacity to trades where they are more contributive than others. Eli mentioned us reopening very swiftly and rapidly our trade serving the Pacific Southwest, moving vessels from Pacific Northwest to Pacific Southwest and again capturing the extra profit that those trades were generating. We are also very strongly positioning ourselves into a market where we believe there are potential for significant growth in the future. You've seen our volume growth quarter-over-quarter, year-over-year on Latin America trade, where we believe is an area that will benefit in future years from future growth. And last but not least, looking at our vessel strategy, we are now getting into 2025, completing our fleet transformation. So having our core fleet, which is now extremely cost efficient, remembering that we ordered those vessels in 2021, '22, before a significant surge in a newbuild price and also before the inflationary environment that led to a cost of capital being elevated thereafter. So we got a very good deal if we compare to what would be the similar type of costs that we would incur if we were placing those orders today. So we are entering 2025 with 50% of our core fleet of our operated fleet being represented by this 46 brand new ship, 40% of our capacity is LNG powered and we have regained the ability to potentially flex down if we need to depending on what the market environment may be like in 2025 by returning the smaller, less efficient vessels that might be -- that will be up for renewal in 2025, the 35 ships that we were talking about.
Omar Nokta: Great. Thanks, Xavier for that color. Very helpful. And maybe just a follow-up, maybe in terms of just the spot market, and as we referenced here, it looks like we're finishing off the year relatively strongly. Maybe just like could you give some color on what you've been seeing here recently. You had the wind up going into peak season, a little bit of a wind down as peak season has started to conclude. How does how have things kind of been going here recently? And then in terms of the strike on the US East Coast, it only lasted three days. You're obviously very active in that market. Any lingering effect for ZIM in the fourth quarter in terms of, say, financial impact? Anything to talk about? Thank you.
Xavier Destriau: Yes. I mean I think the first element to consider is very quickly, after the Golden Week, which is a very important date in the seasonality of our industry. Volume came back very, very quickly. So this is why we are quite confident in our ability to deliver on the fourth quarter, also a stronger volume of carrier TEU. So the demand was strong and there may be a few things that can explain why demand was very strong to pick up shortly after Chinese -- after the Golden Week. Maybe the fear of the potential tariff was one driver. The fear of the potential strike that may take place from January 15 in the US and also the fact that from a timing perspective, Chinese New Year next year will come quite early towards the end of January. So that might have triggered also some sort of a cargo rush in the towards the end of the third quarter. And also, as we see today, strong volume currently being moved between the especially Asia to the US. So that is obviously supporting the rate environment. And as you rightly pointed out, we did see the rate started to normalize after the peak that was reached in July. But over the past few weeks and post Golden Week, what we've seen is on the most of the trading, some sort of a stabilization in the rate environment. And even on some other trades, we are seeing rates starting to pick up again. So that, I think, points towards a good finish for 2024, at least up until the end of January, up until Chinese New Year, then we will move towards the second part of the better part of 2025 and we will need to see what will be the effect potentially of the new policy of Mr. Trump and how the demand will behave going forward. But today everything points towards a continued growth in demand.
Eli Glickman: Xavier, thank you. I would like to add, Omar. I think these results, higher than $1.13 billion. The decision on special dividend of $100 million on top of the $340 million. Our confidence in the company with the new fleet that we have, 42, and new vessels, very efficient LNG vessels that we have in the fleet, we see the impact. We see the record volume of the company. We enjoy more our decision to prefer this year the spot rate on top of the long-term contract. And not to surrender to price adjusted to us by, let's call it, the big customer below breakeven, show our results. On top of that, our decision to open new line from Asia to the West Coast of South America. Our decision to reopen the line from Asia, South China to LA and from Shanghai, Ningbo to LA show our strength, our agility to take decision, and we are in high confidence. And with that, the Board approved the special dividend on top of the $340 million, totaled $440 million. So we believe in the company, we see strong cash flow and we believe in the future of the company.
Omar Nokta: Excellent. Well, thank you. Thank you, Eli for that and Xavier. Appreciate all the color. I'll turn it over.
Operator: Your next question comes from the line of Alexia Dogani with JPMorgan. Please go ahead.
Alexia Dogani: Yes, hi, good afternoon. I had two questions. Just firstly very good to hear kind of the positive outlook that gives you the confidence to give some incremental special dividend near-term. What held you back from reversing the impairment you took last year? Because I believe that the impairment was driven by the kind of outlook of the market. Could you not reconsider that decision now that you suggest kind of things have improved more underlying? So that's my first question. And then secondly, can you just clarify, Xavier, what percent of your capacity is on this kind of smaller, less efficient vessels that could potentially come out in '25 should the market kind of turn out weaker? And then if I actually can ask one more. What are you hearing from your customers near-term? I mean is there scope for further inventory buildup into the first half of 2025 or kind of the duration kind of constrained the timing benefit of arriving in the US in the next couple of weeks? Thanks.
Xavier Destriau: Thank you. Good afternoon, Alexia. So on your first question with respect to the impairment, this is maybe a little bit of a complex accounting matter, but I'll try to explain as clearly as I can. Back in September 2023, when we concluded this impairment analysis, it is always a forward-looking process that gets considered when we are benchmarking the value of our assets in our book against what is the potential value of the asset that will be generated in terms of future discounted cash flow. So it's always forward looking. And so what has happened behind does not really assist or play a significant role in every significant, any subsequent reassessment of the impairment. So that being said, this quarter, unlike prior quarters, we did indeed look and reassess the overall impairment amount that was left in our book because some of it has already or a significant portion of it has already been amortized over the past 12 months. And when we look ahead into future years, '25, '26 and the year thereafter and when we compile our cash forecast, when we use also the updated WACC in terms of discounting rate, which is also affected by the macro environment, in terms of interest rates, in terms of country risk in Israel. So there is a lot of data that comes into play. And when we finalize the overall assessment and compare the expected, the realizable value of the assets where what was left in terms of book value of the same assets. We saw that there was a immaterial impact of the impairment assessment. That's why we concluded that there was no need to change anything. And what basically that translates into, in a nonaccounting terms, maybe to help understand, is suggesting that the book value post impairment is pretty much in line with what the asset value would have been, had we not been forced to charter capacity in '21, '22 at a time when the charter rates were very high. I think this is another way of looking at it from an economic perspective, walking away from the pure accounting treatment of the impairment assessment itself. Now with respect to your second question, the 35 ships that are up for renewal in terms of chartered vessel in 2025 are indeed a smaller ship than the one that we have received over the past two years, out of the 46 ships. Altogether, those 35 vessels combined represent a total TEU of capacity of between 120,000, 130,000. So meaning that if we look at what is the total TEU capacity that we will end up operating at year-end close to 800,000 TEUs. We will have 120,000 TEU potentially that we could let go next year without having to face any early penalty to get out of an existing charter. So we'll see what will happen with those vessels. But again very important to emphasize that the first vessel that we potentially leave the fleet, if there was to be any of them, will be the one that are more expensive, less efficient for us to operate, leading the company always with operating the core capacity, which is far more efficient, far more cost efficient. Third, I think you were asking about what do we see in terms of inventory level, I think in the US, you were referring to the US, which is the main market for us and obviously, on our Transpacific trade lanes. We've clearly it came from a period of destocking in 2023 to maybe some sort of a restocking that took place over the summer. If we look at the inventory data in the US and the one for us that is, I think, maybe extremely relevant is inventory to sales ratio. We see that inventory levels as of today are not abnormal compared to normal inventory level to be expected at this time of year. The demand has been strong and resilient in the US. So we don't feel too alarmed that there might be an inventory buildup going on right now in the US that might bite us back in subsequent quarters into 2025. At this stage, we don't see that.
Alexia Dogani: That's very helpful. And can I just ask one follow-up on the oversupply comments you gave earlier. Obviously, you're talking about risk of oversupply continuing, but to a lesser extent. What is that premise on? Is it on the view that likely the Cape of Good Hope journeys will continue in perpetuity or kind of what really is, yes, kind of the basis on the lesser standpoint? Thanks.
Xavier Destriau: Look, I mean, the Cape of Good Hope situation or the Red Sea crisis situation is very difficult to opine as to when that will potentially change. But hopefully it will change sooner rather than later. And I think what we are referring to here is in terms of newbuild being delivered to this global shipping industry, 2024 was the year of significant newbuild deliveries, 3 million TEUs of equivalent capacity delivered this year, more than 10% of the overall tonnage being delivered in one year. In 2025, we know already that it's going to be far less. I mean it's still a significant amount, 2 million TEUs of capacity. And then in 2026, for now, I think we are in the region 1.5 million of TEU. So 2024 was obviously a very important year on that front. Clearly, the Red Sea situation contributed meaningfully to help absorb this additional capacity that came in. At some point, the Red Sea disruption will dissipate. But we are still in an industry which is growing in terms of expected carried quantities year-over-year. So that is an important element of consideration to be taken. And second, the scrapping of capacity will -- it's a matter of -- it's not an if, it's a matter of when. And this should approach -- this should happen fairly soon. There will be a need to take out older tonnage. There is a lot of vessels that in other circumstances would no longer sell and those vessels will need to be retired. They would have been in normal circumstances and they will be pushed out also with the enforcement of the IMO regulation. And again I think what we could add one other element to finish answering the question is if we look today, in order to cope with the surge of required capacity to work around or to go around the Cape of Good Hope. If you look at the average vessel speed, it went up from 2023. I think today, on average, the fleet is sailing at 16.5 knots. There is clearly room in 2023. The average was below 15.5. So that one knot different is having a significant effect also on capacity absorption. So when the route around via Suez reopens all those drivers will come in also to potentially mitigate the risk or the effect of this influx of capacity. The risk is there of -- risk of extra overcapacity. But there are also, I think, and this should not be overlooked, a series of meaningful things that could happen that could mitigate that risk going forward.
Operator: Your next question comes from the line of Sathish Sivakumar with Citigroup. Please go ahead.
Sathish Sivakumar: Thanks again Xavier and Eli Glickman and congratulations on the good results here actually. I got four questions here and I might start off with -- on the guidance as such. If I look at the guidance, the top end, it actually assumes the average freight rates being flat quarter-on-quarter. Is that correct? Or do you actually see an uptick in the volume growth versus Q4 even adjusted for seasonality? And then the second question is around the contract versus the spot volume mix here. Has it changed as we went through the year? Are you still using around 35% of your volumes on Transpacific is still contracted? And any color around that? What does that split looks like actually at the end of Q3? And then the third one is around the vessel utilization. If you have any color around like within your trade lanes, where are you seeing, say, higher utilization versus you're seeing some still some pressure on getting the vessels fully utilized. Again just looking into very specifically, Transpacific versus Intra-Asia, LatAm trades. And then the final one on the Transpacific volume growth, strong volume growth here. Can you actually help us understand year-on-year movements there versus, say, volumes into West Coast which was not there last year, you launched those services this year, then also the impact of express service TAM, basically splitting between East and West Coast would be very helpful from Asia. Yeah. Thank you.
Xavier Destriau: Thank you for the question, Sathish. So I'll take them one by one, starting with the first one. If we look at the assumptions baked into our guidance, so for the fourth quarter, we are expecting indeed to continue to slightly grow our volume as we will continue also to see the effect of the incoming new capacity. We still have four vessels that will be delivered to us between now and the end of the year, while we have seven smaller ships for redelivery over the same period. So net, we continue to grow our operating tonnage. And as a result, we also believe that we will be able to capture additional market share and fill those ships. So the net 970,000 TEU that we've carried this quarter, we are expecting to continue on the same trend into the fourth quarter. So, yes, there is still volume growth assumptions versus last year baked into our guidance for Q4. In terms of rates, we talked about the fact that the rate did indeed declined from the high of achieved -- reached in July, but we now see some rates stabilizing, but still on the overall, if you compare and when we will close Q4, the average freight rates per TEU carried in Q4 will not be as strong as the average freight rate of TEU carried in Q3, again, because we were through the descent in terms of spot rate environment already within the third quarter. So we see a stabilization now. But on average, the average revenue generation per TEU carried in Q4 is expected to be less than the one in Q3. With regards to the question on the spot versus contract, you're right in saying that it was a very important decision that we took earlier this year to not compromise on our ask vis-a-vis our customers for minimum contract rate, that led to us being more exposed to the spot market than what we initially had planned. That hasn't changed throughout the year for us. The contracts are being discussed and set during the contract season in a way, so in the first quarter. And so as of today and as of the end of Q3, we were still operating on the 35%, 65% type of split between contract and spot. So we will enter soon into the discussions for next year and that is going to take place early in 2025. We will see what happens there. But in terms of overall strategy from the company, we will most probably continue to abide by our philosophy, which is we are seeking, obviously, to lock a long-term contract, but providing only that those are being set at rates that we are happy to agree to. Third question on vessel utilization today, as I mentioned, following the Golden Week, the volume resumed or the demand went back up very rapidly thereafter. And so our vessels are sailing at optimum capacity and pretty much full. So the utilization is strong, has been strong ever since, and we expect it to continue to be strong for the reasons have explained earlier on up until, we think, at minimum early next year until Chinese New Year, which is set on 27th of January and this time next year. And finally, you were asking the Transpacific volume growth. It's been very important for us, not only in Q3, by the way, but still since we have experienced the effect of the Red Sea disruption and the fact that we had to add capacity to the trades that we are sailing around the coast -- around the Cape. So we added capacity on the Cross-Suez trade in order to maintain the weekly service and to capture the momentum in the freight environment. And with the ripple effect because it's pretty much the same type of ships that are being deployed also on the Transpacific. The Transpacific has been recovering very quickly from the low of 2023. And echoing I think what the comment that Eli made, it was very important to us to maximize our earnings potential. So, yes, we had a very strong presence historical presence on the US East Coast and we capitalized on that stronger foothold. But also in, on the US West Coast, that's where we took a full service away from the Pacific Northwest that was not as strong in terms of demand and in terms of earnings potential and really put this capacity to the Pacific Southwest. So now we end up operating two services where last year we -- at this time, same period last year, we had no longer any service on the Pacific Southwest. So those which are expedite service, five week type of or five to six weeks full transit rotation move cargo pretty fast in a way and contribute positively both to the revenue generation, but also from a volume perspective to the carried quantities when you look at that metric in isolation.
Sathish Sivakumar: On the express type product, the express services, what type of customers are actually like utilizing that service? Like vertical or the?
Xavier Destriau: Yes, I mean on this service, you have all the usual suspects that are very interested in services that catch-up for time-sensitive cargoes. So you have all the e-commerce type of businesses. So that is a significant source of source of cargo. And you also have some regular cargo that is being booked on those ships also, especially nowadays with the shortage of capacity and a strong demand that is prevailing in the US.
Sathish Sivakumar: Got it. Maybe just, sorry, one quick follow-up on this. So the point-of-sale on that express service, how do you classify US versus Asia on that express service?
Xavier Destriau: I'm sorry I didn't quite get that question. Can you repeat, Sathish?
Sathish Sivakumar: So if I look at the point-of-sale for that express service, what is the split would look like, say, originating out of Asia versus originating out of US importers?
Xavier Destriau: Oh, I would not be able to tell you precisely here to be frank. I guess it's split, but the precise split between the two push export out and pull import in is something that I wouldn't want to say something that I'm 100% sure.
Sathish Sivakumar: Okay. No problem. Thanks. Thanks, Xavier. Congratulations again.
Operator: And that does conclude our question-and-answer session and I will now turn the conference back over to Eli Glickman for closing comments.
Eli Glickman: In summary, we are proud of ZIM's strong third quarter in which we deliver record carried volumes and outstanding financial results. This performance again illustrates our continued progress, advancing ZIM fleet transformation, enhancing our commercial agility and executing strategic objective to best position the company for long-term profitability. 2024 is shaping up to be the third best year ever for container shipping following the record year of 2021 and 2022 and we are pleased to continue to capitalize on a positive rate environment that has remained stronger for longer than anticipated. We have once again raised our full year guidance. As we look to the future, while market dynamics are volatile, we are confident that we have built a resilient business at ZIM with a transformed fleet. Our strategic transformation has put us in a stronger position than ever. And we will continue to implement our differentiated strategy to drive the next phase of ZIM growth. Thank you again for joining us today. We look forward to sharing our continued progress with you all. Thank you.
Operator: Ladies and gentlemen, that does conclude today's conference call. Thank you for your participation and you may now disconnect and we're clear.